Operator: Good morning, and welcome to the earnings call for Raymond James Financial's Fiscal Second Quarter Results. My name is Terese, and I will be your conference facilitator today. This call is being recorded and will be available on the company's website. Now I will turn it over to Paul Shoukry, Head of Investor Relations at Raymond James Financial.
Paul Shoukry: Thanks, Terese. And good morning. On behalf of our entire leadership team, I just want to thank you all for joining the call this morning. We know this is a very busy time of the year for all of you, so we certainly do not take your time or interest in Raymond James Financial for granted. After I read the following disclosure, I'll turn the call over to Paul Reilly, our Chief Executive Officer; and Jeff Julien, our Chief Financial Officer. Following their prepared remarks, they will ask the operator to open the line for questions. Certain statements made during this call may constitute forward-looking statements. Forward-looking statements include information concerning future strategic objectives, business prospects, anticipated savings, financial results, industry and market conditions, demands for our products, acquisitions, anticipated results of litigation and regulatory developments or general economic conditions. In addition, words such as believes, expects, anticipates, intends, plans, projects, forecasts and future or conditional verbs such as will, may, could, should and would as well as other statements that necessarily depends on future events are intended to identify forward-looking statements. There can be no assurance that actual results would not differ materially from those expressed in the forward-looking statements. We urge you to carefully consider risks described in our most recent Form 10-K and subsequent Form 10-Q, which are available on the SEC's website at sec.gov. So with that, I'll turn the call over to Paul Reilly, CEO of Raymond James Financial. Paul?
Paul Reilly: Thanks, Paul, and good morning, everyone. Jeff Julien and I are here attending our RJFS Independent Advisors Conference, a record 4,000 attendees, over 240 training classes, and extremely positive constructive environment. In fact, there were 72 recruits attending our conference from other firms. First and foremost, I want to start with we believe we had a very good start for the first 6 months. In fact, a record pace for the first 6 months. Net revenues for the first 6 months of fiscal year were $2.5 billion and pretax income of $383 million, both represent the most we've ever generated for the start of our fiscal year in a 6-month period. Additionally, I think if you look at our key operating metrics at the end of the quarter, we have a lot of quarter-end records. That includes client assets under administration of $496 billion, financial assets under management of $69 billion and net loans at the bank of $12 million. These records have been driven by our long-term focus on recruiting and retaining a great group of financial advisors. That shows up in the numbers also with the record number of financial advisors we grew to 6,384 at the end of March, which is up 182 from last year's March and 48 over the preceding quarter. These strong net additions really understate our actual growth and productivity capacity as they come online. Now I'm going to go over a few numbers before I turn this over to Jeff for more details. We understand this was a noisy quarter as was our first quarter last year, both due to seasonal and nonrecurring items that Jeff will discuss. We achieved a record quarterly net revenue of $1.29 billion, a 9% increase over the prior year's fiscal second quarter and a 3% increase over the preceding December quarter. Quarterly net income of $113.5 million or $0.77 per diluted share. Quarterly net income is up 9% from last March quarter but down 10% sequentially, due to those items which I alluded at previously and Jeff will go over. As we told you in the last earnings call, we typically have a difficult March due to seasonal items. This March quarter was no different. Because of some of these items, we think it's important to look at the combined results for the first half of fiscal year, where we generated $2.54 billion of net revenues, up 7% over the first half of fiscal 2014, and net income of $240 million, which is up 8% over the first half of fiscal 2014. During these first 6 months of the fiscal year, we generated 15.1% pretax margin in this rate environment, which is within our target, and annualized return on equity 11.3%, below our 12% target in this interest rate environment, but we still think our target's obtainable. Now for a quick recap of some of the segments. The Private Client Group, we generated a record net revenue of $871 million, up 7% over the prior year's fiscal second quarter and 3% over the preceding December quarter, again, this segment was affected. Quarterly net revenue is really attributed to strong advisor retention, which along with a -- not a lot of appreciation in the market, we had solid improvement in our assets due to our productivity and recruiting. Meanwhile, quarterly pretax profits for the segment of $75 million were challenged by the seasonal factors and other items Jeff will explain, including FICA, advertising, technology and other items. But again, if you look at the 6 months of the fiscal year, you'll see reasonable operating leverage as net revenues for the segment were $1.7 billion, which grew 8%, while pretax income in the segment was $168 million, which grew by 13% over the previous period. At the current levels in quarterly revenues, we believe the segment can certainly generate over 10% pretax margin to net revenue. If we go to Capital Markets segment, we generated quarterly net revenue of $235 million, up 6% compared to the last year's March quarter and 1% compared to the preceding December quarter. Quarterly pretax income of this segment of $21 million was also challenged by a few items, which I'll leave for Jeff to explain later. Actually, based on January and February's results, we expected a much more challenging quarter for the Capital Markets segment as investment banking revenues were very soft for the first 2 months, which we highlighted in our operating metrics. However, March surprises us a bit, as investment banking revenues in March were more than double the revenues of January and February combined. The strong March for investment banking was mainly attributable to very strong M&A and very strong public finance deals, where we had 94 in March alone, and our tax credit business. Meanwhile, equity underwriting was very weak in this quarter as the industry experienced a slowdown in both energy and real estate, which have always been strong sectors for us. The resiliency of our investment Banking results this quarter, in light of the softness in energy and real estate, really highlighted the investments we made over the last 5 to 7 years to diversify our platform. In fact, much of the strength in M&A was driven by technology sector, which we essentially didn't have one as recent as 5 years ago. We continue to make these types of investments, for example, we've invested in our capabilities in the consumer sector and recently, have added significant Life Science sector support, which this quarter was hit by recruitment guarantees and the build-out expenses of the Life Science sector. But we believe there's a very strong and good investment for us. I quickly want to discuss institutional commissions in the segment. Equity commissions of $60 million were down year-over-year and sequentially, primarily due to lower equity underwritings as we talked about earlier. Meanwhile, fixed income commissions of $75 million were up substantially on both a year-over-year basis and sequential. Our Fixed Income division had a very strong quarter, benefiting from significant amount of interest rate volatility during the quarter. Net trading profits were also strong, which is a testament to our agency-focused model. Also remember, this quarter had 3 fewer business days than last quarter which impacts our transactional parts of our business. In the asset management segment, asset management reached a record quarter end for financial assets under management of $69 billion, which is up 11% from the prior year's March. Quarterly net revenue of $94 billion, up 7% to last year's March quarter, but down 6% compared to the preceding quarter. Remember, the preceding quarter benefited from a $5 million performance fee and had 2 more billable days than this quarter. Quarterly pretax income of $31 million is up 44% compared to last March quarter, but down 22% sequentially. But again, you will see there's reasonable operating leverage if you look at the first half of the year. The asset management segment's revenue grew up 6% to $194 million and pretax income was up 15% to $71 million. Raymond James Bank reached a record of $12.1 billion of net loans, up 20% over last year's March and 2% over the preceding December. Loan growth that decelerated this quarter after a very robust December quarter. But as we've always said, we remain very focused on quality loans and we're very opportunistic of growing when those loans are available and slowing down when they're not. Record quarterly net revenues of $102.9 million, up 21% over last year's March, and remember also, the bank was impacted by 2 less days of interest charges versus the previous quarter. This was the second best quarterly pretax income for the bank of $71.3 million, which was up an impressive 25% compared to last year's March quarter. The loan loss provision declined sequentially on slower loan growth and net interest margins did improve to 3.09%, which is 12 basis points higher than last year's March quarter. More importantly, our credit quality remained strong, as the total nonperforming assets declined by nearly 22% compared to March this quarter and now represents 55 basis points of total assets, down from 83 basis points a year ago in the March quarter. So overall, a lot of noise, and Jeff will go through some of the expenses that hit this quarter. But we believe, very good start to the 6 months of the year and the operating metrics that drive our business ended very, very favorably. So with that, I'll turn it over to Jeff. Jeff?
Jeffrey Julien: Thanks, Paul. As I've become accustomed to now I'll start -- I will go through some of the line items that give a little more detail on some of the items that affected those lines, which I hope will help in the modeling exercises that many of you go through. Commissions and fees were pretty much in line. The noise around that line item for the last couple of quarters, both commission revenues and commission expenses has to do with the mutual fund adjustment that we've been talking about. By way of reminder, in the December quarter, we took a $10.5 million reduction of revenues and a corresponding $6 million reduction of comp expense, assuming that, that would be the amount recouped from financial advisors on commissions that would be reimbursed to clients. Related to the mutual funds, that share class issue, whereby, some of the mutual funds that we sell had -- ran specials periodically, very deep in their prospectuses, there were special deals that were available to certain types of plans. It gets very complicated and very easy to miss. And so what we had done in December was, on an automated basis, went back 5 years and sort of took a charge for what we deemed to be the worst-case situation for us in terms of client reimbursements and FA charge-backs. In the most recent quarter, in the middle of February, we made the decision not to charge this back to financial advisors. So that $6 million reduction in comp expense became an additional comp expense in this quarter, and actually represents a $12 million swing if you're looking at December versus the March quarter. Further, the $10.5 million estimate that we had reduced commission revenues by, in the first quarter, has been refined downward after we scrubbed the accounts for which we're truly eligible, et cetera, that -- to about an $8 million number, and those reimbursements are -- to clients are starting this month. So actually we benefited by $2.5 million to -- by fine-tuning that estimate. So that was -- other than that noise, in that line item, it's trended pretty much as all your models have expected. Paul's touched on investment banking in some detail, also investment advisory fees, which are down just because of fewer days and the performance fee in the preceding quarter. Interest is in line despite the 2 fewer days and -- but most significant item of note there, of course, is the net interest margin improvement of 5 basis points quarter-over-quarter at Raymond James Bank. Account and service fees are in line. Paul touched on trading profits that usually trend pretty much with fixed income commission volumes, which were good last quarter, this most recent quarter as well. In the other revenue line item, with the detail you can see in the press release, the big factor there was a higher-than-normal gains from private equity investments, about $17 million for the quarter. But about $6 million of that, by way of reminder, is attributable to noncontrolling interest. So only about $11 million of that to our pretax line for those of you that adjust private equity out of your models. Looking at the expense side. Aside from the mutual fund reversal of the charge-back to FAs, which added $6 million in the quarter, Paul mentioned the FICA restart. This is an annual seasonal event for us, of course, and everybody else that added, versus the December quarter, about $6 million to our comp expense as everyone restarts the FICA clock that had surpassed the limits in the prior year. That difference will dwindle. That increment will dwindle over the course of year as people continue to hit the limit going forward. And then information processing. We have some seasonality in that line as well. We had this discussion last year. The annual printing and mailing of our 13th statement for our Capital Access, which is our cash management accounts, the -- all the 1099s for all of our clients at the end of the year, our annual reports and proxies, our -- because our annual meeting's in this quarter, the March quarter, et cetera. And when you add all that together, that effort in total is about $2.5 million that hits in this quarter every year. In addition to that, in this line item, we had what I would call a more normal run rate for IT projects. Projects that involved additional consulting fees. We had some projects -- some programs come online, so we started some amortization and maintenance fees, et cetera. Some of it was a little bit of a snowball that caught up a little from the first quarter. So for these 2 line items, particularly, the comp line item and the info processing line item, I would encourage you to look at the 6-month average run rate for those 2 items. And for the 6-month, the comp ratio is 67.8%, so for the 6-month period we're pretty much in line with our goals. And for the 6 months on the info processing, it's averaged about $63 million per quarter, which is in line with the low-to-mid 60s guidance that we've been kind of steering you toward here for some time, and I think, again, both those represent more realistic run rates for us at this point in time. I will note that there was a slight reclass last quarter that affected the info processing, and the other side of it was the admin line by about $3 million where some of the capitalized IT costs, which really are developer's time, was capitalized out of IT costs and should have been capitalized out of compensation. So we did adjust that -- just made a reclass between those 2 lines to get them comparable to our current presentation. Occupancy and equipment's pretty much in line. Clearance and floor brokers, we had in there a $3 million catch-up adjustment, it relates to several years’ worth of clearing charges that were paid to -- on foreign clearing, clearing our foreign branches at least to our clearing agent. But the other side of it got hung up on the balance sheet and when an account reconciliation kind of jarred that one loose. And it -- so it was about $3 million one-time charge here that -- to catch that up, like I said, relates to several years’ worth of charges. It was never evident in 1 single year. Business development is little high. It's -- Paul mentioned the advertising. We have an annual budget for advertising and branding expenses, particularly television advertising, and we really don't know at the beginning of the year which quarter we're going to buy air time, but we've bought a significant amount in the March quarter, which will again even out over the course of the year because we will not exceed our budget over the -- for the year, and that hit in the other segment for now over the rest of the year, to allocate out to the other segments ratably so. But it's, for now, affected the other segment. The other thing that's affecting business development is this very robust recruiting activity. When you're having the success that we are currently, in recruiting, there are a lot of exit fees that are being paid on behalf of FA's or -- whose clients get charged an exit fee by the broker dealer that they're coming from. There -- a lot of cost associated with flying people down, home-office visits. We're starting amortization of all the hiring deals, et cetera. So I mean there are a whole lot of costs, which are good costs. I mean, it's an investment we are happy to make, given that we're in a sweet spot for recruiting. Investment advisory -- sub-advisory fees are in line. Paul mentioned the loan loss provision was -- generally reflects our loan growth. We had a modest amount of additional provision for some downgrades, a couple in -- a couple additional steps down in some energy names. Additionally, we're trying to get prepared for the SNC exams results here in the June quarter. We like to get in front of that as much as we can. If you remember, last year, that was a fairly modest impact on us, last year, less than $2 million and we're hopeful that we do as well this year, when we get the results in late June. Other expense was in line. Tax rate was in line. We didn't have a lot of COLI gains. The market was relatively flat. The equity market was relatively flat for the quarter, at least the S&P. Noncontrolling interest were what you'd expect to be. Paul's talked on the pretax margins, again, this is -- since these quarters have so much jostling between them, it's better to look at the 6-month period, again 15.1% margin versus 14.6% a year ago. And the comp ratio, I already mentioned, the even year-to-date 67.8 versus 68.5 a year ago. I will mention our capital ratios that you can see. Now -- we now have 4 that we're displaying instead of 3, as this is the first period we're reporting under Basel III. I will mention that there are at least a couple of items, mainly, private equity, that gets treated a little more harshly under Basel III than it did under the prior methodology, that could impact our capital ratios negatively. There are also a number of items that are not clear to us yet, how they need to be treated, that could impact these ratios positively. We have portrayed what we think are the most conservative ratios, because that's what we do. So any of these items that we get some clarity on, in terms of risk weightings, et cetera, over the course of the next couple of months, we will reflect that appropriately in the June quarter, and that you may see a -- may see an uptick in the capital ratios from what we've displayed here. But that remains to be seen. We had a higher share count by about 1 million shares. What happens is -- I think we talked about this last year as well, December quarter is by far our largest quarter of the year in terms of RSU equity awards to employees and retention awards to financial advisors that are done in shares, et cetera. So that's -- this is the time of the year that you'll see the spike in the outstanding shares. So at the end of the day, for -- again, hopefully, to help your modeling purposes, if you look at all of these things I've talked about, and we talked about what's really not going to recur in the next couple of quarters. Well, this $6 million increase in FICA will diminish that eventually it'll go away here toward the later -- latter part of the year. Certainly, we're not going to have another $6 million reversal of the FA charge-back. I don't think we're going to have another short quarter, best I can tell. We should not have another $2.5 million of printing and mailing for 1099s. We should not have another $3 million clearing adjustment in equity capital markets, and I already told you we won't have more accelerated advertising, in that we're not going to exceed our budget. So we have a lot of expenses that kind of hit some seasonal, some self-inflicted wounds that should not play a part going forward. But for all of those reasons we -- again, still think that the 6 months is a pretty good representation of how we did during this 6-month period. But in that 6-month period, every year, we've got these seasonal factors, the shorter quarter, the printing and mailing costs, the FICA restart, all those things that would lead you to think that perhaps all things equal the -- that the next quarter won't have those charges and might be better. Paul?
Paul Reilly: Thanks, Jeff. And I know we're spending a little more time than usual, but we know we had a little bit of a noisy quarter. In a way I feel it’s like deja vu over again with the same situation we were in the first quarter a year ago. But if you really go through it all, you look at the first 6 months numbers, we've had good strong operating results. And more importantly, if you look at the factors that really drive our business and the Private Client Group record assets under administration at the quarter end, record advisors, a great recruiting pipeline that I think will continue to still drive and grow our business. I wish you guys were all here at our conference and you'd see the positive energy from our financial advisors. In the Capital Markets segment, investment banking activity remains robust, particularly in the M&A and public finance. But we do still continue to feel the headwinds in underwriting, especially in the energy and real estate sectors, as we told you we thought that the energy price fall would impact this sector for a quarter or 2 and be replaced by M&A and increased underwriting, but we're still working through that transition in the marketplace. But we got a very, very good year in -- start this year in M&A. Asset management. Record assets under management, continue to help drive earnings, and you'll also remember, we announced a $1 billion asset acquisition in early March and we're waiting for our final pending regulatory approvals. So assets should continue to grow, driven a lot by recruiting and net inflows. Bank, another very strong quarter. Good credit quality and the NIM improvement, the modest NIM improvement should continue to help drive good numbers. And finally, I know we're getting a lot of questions in the industry about the Department of Labor's fiduciary standard. We were active in fighting back in the first release in 2010 and now the law, as proposed, is very complex. We're analyzing it internally as well as I'm on the board of FSR and SIFMA, Scott Curtis on FSI with our trade groups, I think we're all united. I'm going through the proposals. In fact there is ongoing discussions right now with labor. So it's hard to quantify any changes and we're studying it. But believe, kind of, business we do is very positive for clients. So with that, I appreciate your patience, and we'll finally open it up for questions and answers. So I'm going to turn it back to Terese.
Operator: [Operator Instructions] And your first question comes from the line of Devin Ryan with JMP Securities.
Devin Ryan: A question on the bank. If I look at just the overall kind of deposits and then, kind of, think about the deposits at third-party banks, I mean, I know that you guys want to have the bank -- the balance within the platform and grow kind of with the firm. But when I look at the capital base of the firm, capital looks strong, you've excess capital, maybe you have significant deposits at third-party banks. And so, I would think the spread pick up from moving some of those deposits on to the balance sheet would be pretty significant. So just want to get your thoughts there, is that an opportunity and something you guys would maybe look to do, just given that, I think, from an earnings perspective it could be pretty powerful?
Paul Reilly: Yes, Devin, I think that there's a lot of things we know we could -- to do to improve earnings, and it goes even taking some fixed rate risk in securities, minimal. We could grow the bank. But we've had a philosophy to target the bank about 35% in capital and no more than 40%. We think it's important for advisors and for our shareholders to understand we're not a bank first, we are a Private Client Group that has strong banking and asset-management backing to it. So sure we could deploy more capital. I think the bank's done a great job of investing in its assets, its loans and its good risk return basis, but our view so far is, we want to keep it within those capital ratios. We have an opportunity to grow. We haven't told Steve not to grow because we certainly have a little more capital room, but we're not going to be overly aggressive in it either. So we're going to stick to our model right now.
Jeffrey Julien: Devin, the bank's not intentionally slowing down just because of that constraint. They lend when they find good opportunities to participate in credits that are -- meet our quality standards and our return standards and it gets lumpy. You saw it really big in the first quarter and you it slow down a lot this quarter.
Paul Reilly: So you're right. It has room to grow and we've told them to grow if they find good quality loans, and I think we're -- as we find good loans and we're opportunistic, we add them, and when it’s not there, we slow it down. And it has room, both within our internal capital allocations and, certainly, our client cash, which again, we limit to 50% of our client cast and the bank has another control and diversification tool. But they've room under both, but we won't let it get out of hand.
Devin Ryan: Got it. And then, just with respect to the NIM in the bank, nice step-up sequentially. Was that mix driven or what drove that? And then just, kind of thinking about the outlook for the NIM, just given some of the moving parts around mix versus what we're seeing in rates today? That would be helpful.
Steven Raney: Devin, this is Steve Raney. It was primarily driven by NIM increase in our corporate-lending book of business. I would say that -- yes, the outlook, I would say is probably stable for the next few quarters, yes, within a small range up or down. But I would say that look will be pretty stable at this point.
Devin Ryan: Okay, great. And then just lastly, within investment banking, it sounds like the backlog feels pretty good and just kind of within the businesses there, how is M&A, maybe, specifically today, and how does that backlog feels? And with public finance, it sounds like it turned on towards the end of last quarter. So what drove that and is that kind of seen carrying into this quarter?
Paul Reilly: Yes. I -- first on, in investment banking, I think, it certainly kind of underwriting business has been tough across the board, especially for us where we're strong in energy and real estate. But the other sectors have done well. In M&A, it’s been across-the-board, but particularly in tech and tech services, an extremely good quarter. Late March quarter, actually, where it produced a lot of the results. I think people forget sometimes, in public finance, we're a top-10 underwriter. I think one poll said 8 and one said 9, with total credit to lead so we are -- it's a significant business for us. That business was very slow in January and February. The March turn on had to do with -- I think, first, in that business you get a lot of -- because of the holidays, at year end, financing typically slows in January that carried over longer into February. But we're getting-- the refinancing part of that business is turned on during some rate volatility. So we're -- the refi part of public finance have been absent in the last year, that turned on, and a lot of deals happened quickly. So far we see the movement short-term. Here we are into early April, good activity in both of those, but as you all know, that's a lumpy business that is hard to predict, both of those. But we feel pretty good about the backlog.
Operator: Your next question comes from Hugh Miller with Macquarie.
Hugh Miller: I appreciate the insight that you guys gave on the fiduciary standard, was wondering if you could just give us a little more detail on a few areas to help us kind of frame some things up? With regard to the percentage of your kind of advisors that are RIAs, that are kind of already adhering to that standard, and some color maybe if you can on -- you gave us some detail on the fee-based assets but also, can you give us any sense as to how much of those are qualified? And any rough sense on historically, the type of revenue you typically tend to generate from IRA rollovers and those types of things?
Paul Reilly: First, let's answer it in 2 parts. The standard, we have an awful lot of our advisors that have their own RIAs are in our RIAs, but that's not actually even the issue. I know that publicly it's been the issue. If you look at the definition of exemption on level fee payments and disclosures, it's pretty complex right now. And so I think, hopefully, in this comment period and working with the Department of Labor, we can get things that are clear, because it's not that clear the way it's written. So we're working through those right now and that's -- it's -- that's hard to tell. So it’s not as simple. If it's as simple as having an RIA, we'd have a lot of people exempt but it's not that simple, in terms of level fees, products, what qualifies in exemption, what doesn't, and that's what, I think, the industry is trying to work through. In terms of assets, Jeff?
Jeffrey Julien: Yes. Our retirement plan assets in our firm are about 35% of our assets, and -- which I believe that includes RIAs. Is that right, Paul?
Paul Shoukry: Yes. About 35% to 40% of our assets are retirement planning assets. Actually, it's a little bit higher than that within fee-based accounts. It's about 45% of our assets in fee-based accounts are retirement assets.
Jeffrey Julien: I don't think that's a statistic you'll find much different than -- well, maybe different than Ameritrade or something like that, but not much different than most full-service firms that focus on financial planning.
Hugh Miller: Okay. Yes, that's very helpful. And as we look at kind of the asset management business, do you have a sense of kind of the percentage of the assets that are in qualified accounts?
Paul Reilly: I don't know that -- I don't think we know that one off hand, but I will tell you that early reads on that, that actually that we get some benefit, there's some restrictions of -- in that area, in the IRAs and what you can sell. But if you read again, the best you can read the deal well standard, we actually made and get some relief and some opportunity in that area. And again, it's just too early to speculate. It's -- the law is 800 pages. It's very complex, and people are still trying to go through and understand it. And I think even the departments are trying to understand the implications and what all this means. So we're studying it like crazy.
Jeffrey Julien: We have a whole committee doing that.
Paul Reilly: Yes, but it's too early to really give you an impact. If we had clearer picture, we would.
Hugh Miller: Okay. Well, it's certainly helpful, the color you've given there. And then just a question or 2 at the bank. I think you started to talk about maybe some of the energy credits and things like that and getting ahead of this -- the SNC exam. But is that what's driving kind of the uptick we saw in classified assets, just kind of adjusting things ahead? Or are you seeing any changes in credit trends, that may be low-level, but it's not rising to an NPA, but that you're making some adjustments?
Jeffrey Julien: Yes, the increase in credit-sized loans was attributable to downgrading 3 of our energy names and us proactively, and we think wisely adding reserves against those names. So the exposure is still remains very low. It's less than 3% of total assets are in the energy sector. And the vast majority, 75% of our energy exposure is really not related to -- is not as sensitive to the volatility of oil and gas prices. It's more midstream-oriented related to exposure, so but continue to watch every name very closely and monitor that portfolio actively.
Paul Reilly: The percentage may have moved, but if you look at dollars, it's not much. It's in a normal fluctuation, so I think there is nothing underlying that we're worried about that's driven any increased there. It's just our normal credit process and trying to be conservative and doing the best job we can at estimating that and trying never to be behind the curve.
Hugh Miller: That's helpful. And then, as we look at kind of the deceleration in loan growth, if you could you just give us any color between the resi portfolio and the corporate portfolio. And I guess, as we look at things from a spread basis, we have seen kind of a nice improvement in credit spreads in both investment grade and high yield in late last year into this year, any color as to how we should be thinking about that in terms of your willingness to kind of go out there and put capital to work?
Jeffrey Julien: Yes, we have seen improvements in the marketplace, pushing back and -- credit takers like us and institutional investors in this market are finally having a little bit more discipline as it relates to the returns they're looking for. That being said, I would say is reflected in this quarter. Loan volumes I would say broadly in the corporate sector, in particular, were down. There is not as much deal flow right now. And as Paul and Jeff alluded to, as you all know, we've been very prudent, not really changing our credit standards at all. So I think you'll see us really not making any significant changes to our approach. We've got latitude to run in place and even shrink if we needed to if there weren't opportunities.
Paul Reilly: Hugh, this is the one we've been terrible at guidance because we just don't know. We've seen when we say it's slowing down, and all of a sudden like December quarter, we had a huge quarter. So we just -- we're very focused when the markets are right. When we get the right credits, we act. And when they're not, we slow down. So it's a hard one to tell you how we really -- where we see it going because it can open up like a spicket and that can slow down in terms of the things that we're interested in lending on.
Operator: Your next question comes from Chris Harris with Wells Fargo.
Christopher Harris: Surprise a few questions on DOL. Wondering if you guys can help us out, maybe not getting into the law specifically, but if we just think about your advisor for us. Overall, how does the behavior differ between your advisors that are operating under fiduciary versus those that are not? And I know one is tends to be a little bit more fee-oriented and the other is commission-based, but anything you can kind of help us out with regards to how they run their practices differently, the different products that are in those 2 categories would be helpful.
Paul Reilly: Here is the hardest thing, Chris. It's -- first, I wish I could tell you that one's one and one is the other. And those operating their fiduciary are different than the commission value. We believe that our job is to put the client first. It's been one of our -- it's the center of our core values. It always is. And to say that just because you're fee-based, it's better for clients when a commission is cheaper, especially in small accounts. In fact, there's anti-churning regulations where we're not supposed to charge a fixed fee when we're not giving a lot of advice. It's cheaper for the client to be commission-based. So this whole thing of fiduciary, what is it mean under the standards? And that's really the question whether it's under the 40 Act? Or is it this fiduciary standards proposed now. We all believe it's in the best interest of the clients. So just because you're fee-based, it doesn't mean you automatically do what's in the best interest of clients, made off[indiscernible] fee-based RIA. But -- so that's the hard thing here, and so it's -- at one extreme you could say, everybody who's doing commission-based will have to go to some wrap fee level commission charge. Frankly, that wouldn't be good for a lot of clients. And frankly, for small accounts, it probably is cheaper not to have them. Better for the client, if that's forced. But they're going to lose access to advice. Short term, it may impact as we -- our accounts, but frankly, a lot of those accounts aren't profitable for us either. We do them as an accommodation to our clients, friends of our clients or relatives and to our financial advisors. So although we may have some juggling around, it may hit revenue. The expense part, we might be better off. So this thing gets so complicated and everybody wants to simplify it until we get through the rules, the regulations. And one of these exemptions really mean, it's so hard to give guidance. It really is. So I wish I could answer, but I think the headline from the administration of the DOL is fee-based is good, commission is bad. Well, we can show you hundreds of thousands of accounts where that's not true. So we're just going to have to see where this ends up.
Christopher Harris: Okay, helpful. The other kind of question I have on this topic, have you guys disclosed or can you disclose the amount of revenue-sharing payments that you generate on a recurring basis?
Unknown Executive: Revenue sharing from?
Jeffrey Julien: Chris, we have a line in the Q that we provide that just shows what we earn from mutual fund companies, of all types of fees and revenues we earn from mutual fund companies and the Private Client Group segment. But again, going back to Paul's comments, we're not even sure that those fees would actually be totally impacted by the new proposal as we kind of go through it and look through all the exemptions. So we haven't disclosed an estimate of what portion of those fees we think would actually be impacted is because we don't know what that estimate would be. So until we get more guidance on that item, you can kind of reference that line item in the Q under the Private Client Group segment. That's probably as a good number as any for you to look at.
Christopher Harris: Okay, great. I'll check that out. And then real quick, a question on the numbers this quarter. Jeff, thanks a lot for walking through all of those expense items. Just one follow-up on that. It seems like a lot of those discrete items were in PCG, yet you had a pretty decent drop-off in the capital markets margin this quarter. I know you had the $3 million item that impacted the numbers there. But was there anything else to call out in the Capital Markets, why you saw a bit of a drop-off there in the margin?
Paul Reilly: Well, you see the investment actually in the new practices was kind of a like number all in between recruiting fees, guarantees, start-up costs. And you also, as our business shifts and we look and estimate comp, we were better as we get to the end of the year in that business to get better estimates at the end of the quarter. So again, it had a lot of shifting pieces in this, but there are certainly those 2 pieces that on a smaller business that had an impact on the bottom line. Oh yes, and the other one is -- I'm sorry, as Jeff just pointed out to me -- is the other impact is Canada has had a very difficult market, not just for us, for everybody. And the results there had been from a bottom line standpoint, haven't been positive. So -- and that's across the board, even with our competitors because it's commodity energy-based market. So those numbers have dragged down significantly through this quarter. That's the other big factor.
Operator: Your next question comes from Bill Katz with Citi.
Ryan Bailey: This is actually Ryan Bailey filling in for Bill. I just had a quick question on margins and ROE targets and how we should think about that going forward and kind of what might be the main drivers there?
Jeffrey Julien: Yes, for the moment, we're sticking with for the year to exceed 15% margin. We would like to hit 12% ROE. We know we're behind that even for the first 6 months here, still, our 12% ROE goal in this particular interest rate environment. As we get into the 2016 budgeting process, we're going to be revisiting the targets for margins in all of our businesses as well as the overall firm. And when we arrive at those, we'll make them more public. But for this fiscal year, we haven't shifted in the middle of the year here because we don't expect any change in interest rates either.
Operator: Your next question comes from Christian Onwugbolu with Crédit Suisse.
Christian Onwugbolu: Just a broader question on expenses. Ignoring the ins and outs of this quarter, expense inflation just seems to be a recurring theme for you, and I think some of your other peers. Just curious if there's anything in the operating environment that's driving this. Is there increased competition that's driving higher marketing spend? Or is the rise of robo-advisors fueling the need to just improve technology capabilities?
Paul Reilly: I don't think the robo-advisor factor is certainly topical, but not impacting our business really at all. So I think we've been running under our technology and investment run rate, which is help drive our recruiting, because we have extremely competitive platform and technology now and we continue to advance it. But we've told you it slowed to mid-60s as a run rate and we believe as a run rate average. That's what we're going to come in this quarter. Marketing, our budget for the year is the same budget we've had all year. It's just lumpy. We just had a bigger expense this quarter because we run them in flights. We don't run all year around and it just happened to hit this quarter. So I don't think anything in the expense -- sure, we've got -- we've run high levels of back office support. We always have. It's part of our model. But I don't think anything's fundamentally changed. And if you look at the first 6 month run rates and what we've given as guidance, we don't see anything that's fundamentally different. It's just we got a lot of hits this quarter.
Jeffrey Julien: Yes, I'd say, Christian, even though we're comparing this to 1 year ago or 2 years ago or anything else, we have -- we're bigger, so we have some increased absolute expenses. But the only area I'd say that disproportionately has increased in expense has been the compliance and regulatory, which obviously mainly in the admin side of the P&L comp expense.
Paul Reilly: We are not alone in that.
Jeffrey Julien: Yes. I don't see any fundamental in the other expense line items that are responses to anything in the environment.
Christian Onwugbolu: Okay. That's fair. Just switching over to kind of M&A and acquisitions for you. I mean, you've declared Asset Management as a priority. You did cover it but that was fairly small, just curious as to what's holding back. You guys pulled the trigger in the bigger deals, is it that you just haven't found the right targets or price or just something else?
Paul Reilly: Yes, we are very clear that our strategy is, first, has to the cultural fit. Secondly, it's strategic fit. And third, has to be at a fair price. And the hardest filter is the first one. A lot of the companies that we're interested in, because they share our culture and we think of our values and background are private, not for sale. So that's problematic, but we believe another of those companies will both through owner, founder transitions. So we stay close to them. So we continue to talk to a lot of people. We stay very close. We're very active. We're very desirous of doing something, but they have to hit the criteria. So I'll tell you, we're more and more active and we talk on more and more deals than ever, but we're very disciplined on spending cash.
Christian Onwugbolu: Okay. And then just a follow-up question on just long-term operating margins for you guys for the firm. We can do the math in terms of like how much margin should improve as rates rise. But I was curious, is there a natural level of which can margins max out for you just given competitive forces that should come into play as maybe as rates rise?
Jeffrey Julien: Sure. Margins definitely are not going to be rising forever. So given our current mix of businesses, that once we get the benefit of interest rate lift and we would get some modest benefits of scale and some of the businesses over time, but it won't be as material as the impact of interest rates. So a couple of hundred basis points from here in terms of margin is probably a realistic cap, given the dynamics and businesses that we're in today. The world can change on a dime, but we don't anticipate that.
Christian Onwugbolu: Okay, fair. And then just lastly for me. I apologize if I missed this one in the earlier remarks, but an investment advisory fee line, I think revenues there were up kind of 3% year-over-year, which kind of lagged significantly, the pace of AUM growth was more like 11%. Do you have any color on what was driving that kind of revenue lag relative to AUM?
Jeffrey Julien: Yes, there's been a pretty -- if you look at the components of our assets, which I think are disclosed in the Q in chart form, the components of our AUM, you'll see that the growth has come in what we would call our lower-fee type products, which the most of it -- a large part of the growth has come in the lower-fee products predominantly the product we call Freedom. There is a Freedom in our Freedom UMA, which are managed mutual fund portfolios. And given the significant cost embedded in mutual funds already, we don't feel like we can layer on a particularly large charge on top of that to manage that. So that's where a lot of the growth has come from and it's a very low fee relative to say a separate managed account where you're managing equities.
Operator: Your next question comes from Jim Mitchell with Buckingham.
James Mitchell: Maybe just on the growth in fee-based assets. You guys were up, I think, 4.7% quarter-over-quarter. That seemed to -- quite a bit stronger from -- versus the market impact. Can you -- I know you guys don't disclose flows into fee-based assets, but is that a fair assumption? Or is there something unusual from a market impact? Or is that just reflective of the higher recruiting and the assets coming over and quite a bit of it was net new assets?
Paul Reilly: It's recruiting. It's net new -- we've had net assets inflows and we -- just recruiting is very, very strong, and that drives Asset Management also.
Jeffrey Julien: And a lot of it's billed in advance, obviously, so that will be a good harbinger for next quarter.
James Mitchell: Right, that should be priced in the next quarter. Okay. And then maybe just another stab at the fiduciary duty, just maybe bigger picture. Obviously, there's a lot of moving parts so we don't know how it's going to play out, but if there's some pressure and some revenue stream that says, hey, this is not allowed under a fiduciary standard. I mean, just big picture, do you guys feel you have pricing power to maintain pricing regardless of what an individual revenue stream may fall away on the wayside? Can you reprice somewhere else? Or do you feel like if there is some impact on a particular revenue stream that you won't be able to make it up?
Paul Reilly: It's kind of hard to say. I would say, overall, if you look at where we are in terms of size and distribution power, that we should be able to -- if one source of payment goes down, then we have to change it. You would assume that, I don't know in the short-term, but over time it's going to even out. And the worst parts of the law, you would say we'd have to get rid of some accounts and assets because they're not cost-effective. On the other hand, those accounts are not profitable to us in general anyways. So it's really hard to tell the net income. I do think that at the end of the day, it's a very competitive market. We have a valuable franchise and distribution, and I think people are going to pay us fairly to access that, but I don't know how it's going to look.
Operator: Your next question comes from Douglas Sipkin with Susquehanna.
Douglas Sipkin: Just had a couple of questions here. First, I figured I'd answer them -- I'm pretty sure I know the answer I'm going to get. I'm looking at your record results for the first 6 months, yet your ROEs coming to trend down and it just feels like the logical thing to do is maybe shrink the equity somewhat, and I know you guys are not hip to doing buybacks, but I still struggle with why you guys wouldn't at a minimum just buy back the dilution from new award. It seems like a pretty common practice in the industry to do that. Just doing that alone could probably would've shrunk the share count a couple of million shares over the last 1.5 years. So I'm just curious, are you guys considering doing that giving a little bit of pressure showing now on the ROE?
Paul Reilly: Yes. I don't think it's -- philosophically, a year ago the board's position was that we felt we could deploy the capital and that nominal share buyback was really kind of a false signal. We knew it would pacify people, but it really didn't move the needle but 1% or 2% and as deployment of capital be stronger. I think we reported after our last board meeting that was an item that was under further discussion, and I think an item that will be looked at again. We've told you guys and our shareholders, our job isn't to hoard capital. We don't do it. In fact our -- the holdbacks on our compensation each year as a management team are RSUs. Half of that holdback is indexed to ROE targets. So we're not incented to hoard capital for the heck of it. We are trying to do what's best for our shareholders and how we think we can use it. So the topic and discussion of the board is not dead. I'm sure it will come back up. And if we can't find uses for the capital, we will look at ways of returning it. So I think it's a fair question. Doug, I'm surprised you took so long to come up, but maybe we had enough operating expense questions that took a little longer to hit this time, but it's a fair question and we are looking at it.
Douglas Sipkin: Yes, okay. No, that's great to hear and I appreciate the color on the targets related to stock awards and things like that. That's very helpful. Secondly, so obviously great run with the recruiting, you're seeing in the fee-based accounts. You're seeing in the FAs. You're -- obviously, you're seeing some of the front-end cost. I mean, it's been a couple of quarters with this. So looking out 6 months, I mean, are we still on this toward pace here? Or are you guys sensing maybe there's a little bit of flat-lining of the recruiting. I mean, it's still looks like you guys are winning advisors in your pipeline of new people coming in is pretty good, but I'm just curious to get your pulse?
Paul Reilly: Yes, right now, I remind our people don't believe the press. Everyone is writing about us because they're going to write other stuff someday. So -- but the truth is our recruiting is going great. We've been one of those firms that have just been attractive to advisors. Pipeline is very strong. It's lumpy. We have a lot of people that like to change after year-end, just like in other places after their bonuses and things. But having said that, if you look at the pace of -- in summer months, slows down a little bit typically. But the pace and the backlog are very, very strong. And in our discussions aren't are they going to fall off, it's maybe we should even increase our recruiting sales force more and take advantage of the position we're in. So the 6-month year-end outlook is very, very good, but we know these things don't go forever, and just like good markets don't go forever. So we're trying to take advantage of it while we can, and also to make sure our FAs are very, very happy here and that we keep continue with high support levels. And retention is the key. I think our real net recruiting is really good, but the nice thing about the firm is we don't have to chase a dark hole that a lot of firms have to chase some advisors leaving. We're -- our regretted attrition stays low, and that's a big focus for us too. So the outlook is still good.
Douglas Sipkin: Great, that's helpful. And then shifting gears, so I have been very encouraged to see the fixed income commissions start to show a little bit of life, 2 consecutive quarters of sequential improvement. I mean, just curious, digging a little deeper into that marketplace, I mean, do you get the sense that this quarter here in March was kind of an anomaly, given the rate volatility? Or are you may be picking up that there's a little bit of a sustainable trend improvement that may be coming about in this market? Because I know there was a point in time where this was doing $80 million, $90 million in quarterly revenues a quarter now. Obviously, still a long ways away from that, but the last 2 quarters have seen a real nice uptick. So I'm just curious, is there more there? Or is it just too hard to call?
Paul Reilly: I'd say the trend has continued so far. Certainly, for the last few years, we always wondered every quarter that was the bottom, that it wasn't. As people stop trading and certainly, the 2 big drivers of the fixed income business there is rate volatility and slope of the yield curve. So if the fed rates are short-term rates and we have a flat yield curve at 2% from 1 day to 30 years, it wouldn't be good for the business. If there's volatility and speculation on that, it's good for the business. And so far, that momentum has kept up, and it's nice to see for us to the institutional commission has picked up when there's activity and that's continued so far. So how long it lasts is a function of volatility in the markets and what happens with rates. We got a great team though. We got a really -- I told our team in the last 2 years we had an A-plus working in a D market. I think, when a business is really terrible and you can stay at double-digit margins, you're doing really well, and they've done a good job.
Douglas Sipkin: Great. And then just the last question, and I know it's been hit on today, the fiduciary standard, maybe try to approach it from a different perspective. Can you maybe just shed a little bit of light on the philosophy of your guys advisor business and some of the products that you have historically sort of shied away from because I think that may be -- provide a good framework of sort of how the business has been run for a long time period rather than sort of focusing on, obviously, what's going to be some compliance headaches from a potential rule.
Paul Reilly: Losses of this firm way before me is to be very conservative in client product, and then every new product is to say the first screen isn't what we make, is it good for the client. Does it give returns compared to other things existing in the market? Is the risk less for the return and is it explainable? So very early on, the firm was a pioneer in requiring and variable annuities to lower the front-end fees, in fact firms had to manufacture those products specifically for us because we didn't want the upfront loads. And pricing of the riders and everything had to be fair one about the firm, it was the client. Our nontraded REITs, we've stayed out of that market. It's not that we think all nontraded REITs are bad, but we look at liquidity versus returns and the valuations of -- and we said it's not worth it for clients. So you look to closed-in funds. We have very strict leverage ratios. It doesn't mean there's a lot of great product that we won't sell, but we said, hey, the leverage and the return isn't worth the yield enhancements. So that's always been our philosophy and it's been the philosophy in the products and the things we sell. Now having said that, I think for a lot of accounts, commissions are a lot better for small accounts than a continuing fee. And at the heart of the fiduciary standard, commissions are bad isn't fair. And that's the heart of the debate. Now, we can all find examples in the industry and all of our firms where there is always the 1% bad actors. But you shouldn't penalize all the really great people that are doing the right thing for clients. We should get after those folks as an industry and as regulators to make sure we penalize the misbehaviors and take care of those clients instead of just messing up the whole industry, which honestly, I believe will leave millions of people without advice and that they're getting today. So that's the heart of the debate so -- and we're still in it. And we're continuing to work with the DOL. The great thing is all the trade groups are in line on this, and we don't have a split between the custodial firms and the broker-dealers and I mean we all kind of agree on this approach, and we'll see where it ends up.
Operator: Your next question comes from Joel Jeffrey with KBW.
Joel Jeffrey: Just like to follow up to Doug's first question. I mean, in thinking about potentially buybacks, just curious as to how much you guys believe you have in excess capital, not just necessarily above what's required by regulators, but what you see in terms of operating the business currently?
Paul Reilly: It depends how you look at it. There's probably a couple of hundred million, 200 million to 300 million if you really go through it. But we also have a bond issue coming due next year, and people could say, "Well, why don't you just refinancing these low rates?" We tend to be very anti-debt, again, not just for our clients. We keep the same philosophy for ourself. And so when you look at that, that's kind of the excess level. And it doesn't mean that we couldn't do a much larger transaction and the good Asset Management business and take on some more debt and use our equity. So we're not adverse to it for the right situation, but we kind of view that as kind of the excess real capital that we have today.
Joel Jeffrey: Okay. And then when you talked about, clearly, the negative impact the underwriting business tied to what's going on in the energy markets for you guys, do you also see that on a go-forward basis kind of playing out in terms of equity-based commissions from the institutional side of the business?
Paul Reilly: I don't know if I can make that call. There's certainly been a lot of activity and speculation in the equity and energy markets, people making bets that oil is going down and oil is going up, so it -- and clients, we've lot of people who have gotten it.
Jeffrey Julien: But our commission base is pretty broad. I mean, they're buying a lot of sectors, not just energy. And the low energy prices are good for a lot of other sectors. So it definitely -- equity commissions were down, but that was just related to the underwriting activity, maybe underwriting activity will pick up in some of the other sectors that are beneficiaries.
Paul Reilly: And so the commission drop is as Jeff pointed out is and I said in my remarks is really underwriting-driven. There is nothing else fundamentally if you took out those factors that, that there wouldn't really have been a decline.
Jeffrey Julien: And we're adding SBUs and we're just continuing to build out our consumer and life science just to help augment some of the underwriting activity of the firm.
Joel Jeffrey: Okay, and then, Jeff, I think you mentioned that there were some items on your balance sheet that you could get better -- potentially better risk-weighted treatment under Basel III. Can you just talk a little bit about what those might be?
Jeffrey Julien: We're -- it's kind of hard to go into detail at this point in time, but there are some pretty significant pots of assets that it's unclear to us, just exactly how they're supposed to be treated and we've asked for regulatory guidance. And like I said, we treated them all as though they're the most heavily, but I don't want to get into any of the details right now until we get the regulatory guidance. One second, I move the ratio 10,000 basis points. I might move it to 100 basis points.
Paul Reilly: And again, we think we've taken a very conservative approach overall. We believe we have some upside on that.
Joel Jeffrey: Okay. And then just lastly from me, I apologize if you guys touched on this earlier. But in terms of the impact on the fewer number of business days on the investment advisory revenue line, can you just talk about how that impacts the actual billing of the client?
Jeffrey Julien: The clients gets billed based on the number of days in the quarter over 365. So we're getting a lower fee in that quarter from clients given it's 90 days instead of 92 or 92 or 91 days, which the others are, for that quarter into the investment advisory fee line item and obviously FX interest earnings as well with the bank, which is done on a daily basis. So 2.2% fewer. Relative to December quarter, it's the same as last year's March stuff.
Joel Jeffrey: And do you have -- do you know specifically how much on a revenue basis that actually impacted the number this quarter?
Jeffrey Julien: I don't have an exact figure. I don't have an exact figure on that now, sorry.
Operator: And your next question comes from Chris Allen with Evercore.
Christopher Allen: Apologies if these were already asked. I joined the call a bit late. But I was just wondering, the business development increase in the sequential basis, how much was due to recruiting-related and how much was due to with ad spending increase, just trying to break it down?
Paul Reilly: This is development. How much recruiting? How much we're in advertising? How much is?
Jeffrey Julien: The advertising spike was the -- called the spike, was between $4.5 million versus a normalized run rate. So I'd say it was a little bit slanted towards that, because recruiting has been active for a while, so I'd say it was a little bit more slanted towards to the TV airtime purchases, $4 million to $4.5 million, something in that range.
Christopher Allen: Got it. Okay. And then in the Asset Management segment, pretax margins were down on a year-over-year basis, even though you've seen nice revenue growth, nice AUM growth. I was just wondered if you could give any color there what's driving that and whether that could -- the trajectory you have to change?
Jeffrey Julien: Well, that relates to the shift in the lower fee products that was talked about earlier. Maybe you weren't on the call then that got -- if you just look at the mix of where the assets and the -- are being held, there has been a bit of a shift to some of the lower-fee products to us, particularly the Freedom Account products, which again as I mentioned were our managed mutual fund portfolios that have pretty high embedded costs already in the underlying mutual fund. So we had a fairly modest margin on top of that.
Steven Raney: But Chris, if you look at the first 2 quarters compared to the first half of the fiscal year versus the last fiscal year, the margin improved from 33.6% to 36.6%. So there was about a 300 basis point improvement in margin on the year-over-year basis if you look at the first 6 months, which is important to do because of the noise you may have in any one quarter that can really impact their margins given their revenue base. So there is still operating leverage occurring as Paul mentioned in his opening remarks.
Operator: At this time, I'm not showing any further questions.
Paul Reilly: Well, thank you, all, for joining us. We know it's a difficult quarter. I wish we could give better guidance as these -- as this quarter happens. It's the same thing as last year, net-net strong. We think the start to the year are best for 6 months start ever. We've gotten -- if you look at the key indicators of our business, recruiting, FA account, assets under administration, assets under management, net bank loans, all the quarterly kind of records and -- so that's going to position us well for the next quarter. And we have to fight in this environment like everyone else to bring it in. So I -- just make sure that when you look at the quarter and kind of normalize the expenses, I think the 6-month run rate is a good proxy for that. So thank you for attending us. We know on a busy day with a lot of calls, and we'll talk to you soon. Thank you, Therese.
Operator: You're welcome. And ladies and gentlemen, thank you for joining today's conference. And thank you for your participation. That does conclude the conference. You may now disconnect.